Operator: Good morning ladies and gentlemen. Welcome to the Third Quarter 2025 Results Conference Call. I would now like to turn the meeting over to Ryan Hanley, Director of Corporate Development and Investor Relations. Please go ahead, Mr. Hanley.
Ryan Hanley: Thank you, and good morning, everyone. As mentioned, we would like to welcome you to Major Drilling's conference call for the third quarter of fiscal 2025. With me on the call today are Denis Larocque, President and CEO; and Ian Ross, CFO. Our results were released last night can be found on our website at www.majordrilling.com. We also invite you to visit our website for further information. Before we get started, we would like to caution you that during this conference call, we will be making forward-looking statements about future events or the future financial performance of the company. These statements are forward-looking in nature and actual events or results may differ materially from those currently anticipated in such statements. I'll now turn the presentation over to Denis Larocque, President and CEO.
Denis Larocque: Thank you, Ryan, and good morning, everyone, and thank you for joining us today. For the third quarter of fiscal 2025, which is typically our weakest of the fiscal year as customers paused operations during the holiday season, we successfully completed the acquisition of Explomin while revenue for the remainder of our operations remained stable, despite certain challenges in certain markets. We had a particularly good quarter in the safety department as we posted a total recordable injury frequency rate of 0.38, which is the lowest in the company's history, as well, this quarter, we received the Safe Everyday Gold Award from the Association of Mineral Exploration together with PDAC and the Canadian Diamond Drilling Association. These achievements are a testament to our employees' continued focus on safety and our safety culture. On the financial side, despite the drop of 60% in revenue from juniors, we were able to relatively hold our revenue as we saw an increase in demand from our senior customers as they continue to ramp up their exploration efforts. Additionally, we added revenue from Explomin, which derives 95% of their revenue from established relationships with seniors. Geographically, our Latin American and Australasian regions did very well this quarter with increased activity and profitability in places like Chile and most of our Australasian branches. In North America, we faced a temporary setback as we had many projects shut down early in November and mobilized late in January, at the same time as we saw reduced activity from juniors in the region. Margins were affected in that region as we hung onto our crews during those slow times in anticipation of busier year coming up, as labor is always a challenge in times of growth, especially in North America. Finally, as mentioned, we closed the largest acquisition in our company's history with our Explomin transaction. Despite this, our balance sheet remains strong as we ended the quarter with a net cash position of over $11 million and remain well positioned to continue to invest in growth opportunities and prepare for what we believe will be a busier calendar year. I will provide details related to our positive outlook after Ian walks us through the quarter financials.
Ian Ross: Thanks, Denis. Revenue for the quarter was $160.7 million, up 21% from the $132.8 million recorded over the same period last year, driven by the addition of Explomin. Excluding Explomin, revenue for the quarter would have been $127.9 million, down 3.7% from the same quarter last year. Canada and the US remain a challenging market as they are continued to be impacted by limited junior exploration budgets. However, this was partially offset by continued strength in other markets including Chile and Australia. The favorable foreign exchange translation impact on revenue when compared to the effective rates for the previous year was approximately $3 million, while the impact on net earnings was minimal. The overall adjusted gross margin percentage excluding depreciation was 19.5% for the same quarter or for the quarter compared to 23.4% for the same period last year. The decrease in margins was mainly attributable to reduced activity levels in certain regions, retention of experienced crews in key markets, our annual maintenance programs which are completed while drills are idle for the holiday season, and the addition of Explomin, which had slightly lower margin profile due to a higher proportion of underground drilling. G&A cost of $22.8 million, an increase of $5.7 million compared to the same quarter last year due to the addition of Explomin along with annual inflationary wage adjustments. The income tax provision for the quarter was a recovery of $800,000 compared to an expense of $900,000 for the prior year period. The income tax provision was impacted by non-tax effective losses in certain regions. The company generated EBITDA of $7.8 million in the quarter compared to $11.4 million in the prior year and a net loss of $9.1 million or $0.11 per share compared to a net loss of $2.3 million or $0.03 per share for the prior year quarter. Despite completing the largest acquisition in its history, the company ended the quarter with $11.4 million in net cash, remaining well positioned to continue to invest in its industry-leading fleet while maintaining flexibility to respond to potential growth opportunities. In line with this strategy, the company spent $12.6 million on capital expenditures in the quarter, adding four new drill rigs and support equipment while disposing of one older, less efficient rig, bringing the total rig count at quarter end to 705. This includes the 92 rigs that were acquired through the Explomin transaction. The breakdown of our fleet and utilization in the quarter is as follows. 306 specialized rigs at 41% utilization, 156 conventional rigs at 42% utilization, and 243 underground drills at 48% utilization, for a total of 705 drills at 43% utilization. As we've mentioned before, specialized work in our definition is not necessarily conducted with a specialized drill. Rather, it is work that requires we meet the rigorous standards of our customers in terms of technical capabilities, operational and safety standards and other related factors. These standards are becoming increasingly important to our customers. In the third quarter, specialized work accounted for 60% of our total revenue as we continue to see high levels of demand for our specialized services. Conventional drilling, which is mostly driven by juniors, remained low at 11% of our revenue for the quarter, while underground drilling contributed 29% of total revenue as the company continues to look for diversity in its revenue streams, particularly with the recent addition of Explomin. We continue to see the bulk of our revenue driven from seniors and intermediates representing 94% of revenue this quarter as they continue their elevated efforts to address depleting reserves. Junior activity remained impacted by a lack of access to capital throughout calendar 2024 and made up only 6% of our revenue in the third quarter. In terms of commodities, following on trend seen in previous quarters, we continue to see a shift in our revenue mix from gold to copper, particularly following the Explomin acquisition. As a result, copper accounted for 41% of our revenue in the quarter, while gold decreased to 34%. Iron ore continues to make a meaningful contribution at 10%, driven by continued strength from our Australian operations and demonstrating the diversity in the commodities for which we drill for around the world. With that overview of our financial results, I'll now turn the presentation back to Denis to discuss the outlook.
Denis Larocque: Thanks, Ian. While the delayed mobilization that we discussed earlier are expected to impact revenue and margins in the first half of the fourth quarter, we expect to see activity return to last year's level by April and continue on in calendar 2025. With the new budgeting season now underway and result or budget out, several positive indicators related to exploration spending have begun to emerge. Over the last few weeks, we have seen most senior gold and copper customers increase their exploration budget for 2025, some with substantial increase as gold continues to hit record highs in 2025 and copper prices remain at high levels. In addition to growing senior exploration budgets, we've also seen an increased number of junior financings completed in the last two months. Although there's always a delay between the time of funds -- the funds are raised and increased drilling activity, these junior financings, along with the larger senior budget, point to a high level of activity for 2025 at a time where reserves are going down. While global exploration budget -- global exploration spending in 2024 is estimated at $12.5 billion, we are still well below the last peak in 2012 when spending reached $21.5 billion. Future deposits are also expected to come from areas that are increasingly difficult to access, and we are seeing that in the demand we're experiencing now or the discussions we're having with customers. And as the leader in specialized drilling with the industry's largest and one of the most modern fleets, Major Drilling remains very well positioned to take advantage of this opportunity. With that, we can open the call to questions.
Denis Larocque: Operator?
Operator: Thank you. [Operator instructions] And the first question is from Donangelo Volpe from Beacon Securities. Please go ahead.
Donangelo Volpe: Hey, good morning, guys. Thanks for taking my question. Might be a little bit early to ask, but can you talk on some of the synergies you guys are seeing from the recent Explomin acquisition?
Denis Larocque: Yes, a couple of things. I mean the -- in terms of the synergies itself or from a combination, there's not a lot because it's three new markets where we were not. But the synergy for us, it gives us access. We've had customers that were looking for work -- for us to work for them in those regions. So having a presence there allows us to tap into those contracts. The other thing is they do have a GeoSolution group that we are looking to help us in other areas in Latin America. And finally there is exchange of expertise between the two companies which has already started. And with PDAC, this week we had people from Explomin meeting up with our operation team from other countries. So it was a great time that -- for exchange and everything. So the outlook looks very positive at a time where copper is growing.
Donangelo Volpe: Okay, great. Thanks for the color there. And then just pivoting, I guess, more of a hot topic. Can you talk to the potential impacts of tariffs and what efforts are being made to help mitigate any potential risk?
Denis Larocque: Yes, the impact of tariffs is not going to be material at all for us because, first of all, the two main operations that would be impacted are Canada and US and especially with the Explomin acquisition, the impact is more diluted now. But also it only impacts the consumables that we buy. And from a competitive perspective, we're in a great shape because of our geographic diversity and also our supplier diversity. We have -- because of our size, we have many supplier for different types of consumables. So we're -- we can ship between -- depending on the region, we can ship our purchasing to minimize the impact of tariffs. Not everybody can do that when you have an operation in one or just a couple of countries. We operate in 20 countries. So lots of possibilities for us to manage it. So we see the impact to be fairly minimal for those two reasons.
Donangelo Volpe: Okay. Thanks for the color. I'll hop back in the queue.
Denis Larocque: Thank you.
Operator: Thank you. [Operator instructions] And the next question is from Luke Bertozzi from TD Cowen. Please go ahead.
Luke Bertozzi: Good morning, Denis and team.
Denis Larocque: Good morning.
Luke Bertozzi: You just wrapped up this week, I imagine you guys had many discussions with customers and potential customers. What are you guys hearing from the juniors? Does it seem like there's been a shift in sentiment compared to last year?
Denis Larocque: On the juniors, the window has certainly opened up a bit with what we've seen with gold and copper this week, but it's still not huge. I mean it's incrementally positive, but still not tons of financings happening. But again it's up. But where we have seen the most interest like this PDAC, I would say, was the most positive that I've seen in years. And there was lots of discussions with seniors. In fact, one of our analysts has published that activity or drilling budgets or exploration budgets, I should say, are up something between 18% to 20% for the year from seniors. So that's substantial. And we saw it in the discussions we had with senior customers. And on top of it, our offering, our GeoSolution offering is gaining traction and we had a lot of interest from customers at this PDAC. So we had a lot of meetings set up with seniors that wanted to know more about that offering and see some existing customers, but some non-customers that basically see the value, the added value of those services combined with our drilling services. So again this probably is one of the most positive I felt coming out of the PDAC in the last five, six years.
Luke Bertozzi: Okay. Awesome. Thanks for the color, Denis. I think that's it for me. Congratulations on the safety awards.
Denis Larocque: Thank you, Luke. Canadian team -- our Canadian team -- I want to congratulate our Canadian team on that. But it's a company-wide award. It's again representative of our culture.
Luke Bertozzi: That's great. Thanks again, guys.
Operator: Thank you. There are no further questions registered at this time. I'd like to turn the meeting back over to you, Mr. Larocque.
Denis Larocque: Well, thank you and looking forward again to a busy 2025 and thank you for listening this morning.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time and we thank you for your participation.